Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to the Q1 2019 Etsy Inc. Earnings Conference Call. At this time, all participants are in a listen-only mode. Following management's prepared remarks, we will host a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this conference call is being recorded for replay purposes. It is now my pleasure to hand the conference over to Deb Wasser, Vice President of Investor Relations. Ma'am, you may begin.
Deb Wasser: Thank you. Good afternoon, and welcome to Etsy's first quarter 2019 earnings conference call. Joining me today are Josh Silverman our CEO; and Rachel Glaser, our CFO. Before we get started, just a reminder that our remarks today include forward-looking statements relating to our market opportunity, our financial guidance and key drivers thereof, anticipated marketing spend and other plan investments and their anticipated impact on our future financial results, anticipated product launches and impact of experiments, including on conversion rates, anticipated growth in active buyers and investments and timing of our migration to the cloud and it's impacted – anticipated impact on our future financial results. Our actual results may differ materially. Forward-looking statements involve risks and uncertainties which are described in our press release, our 10-K filed with the SEC on February 28, 2019, and our 10-Q that we expect to file with the SEC in the coming days. Any forward-looking statements that we make on this call are based on our beliefs and assumptions today, and we don't have any obligation to update them. Also during the call, we'll present both GAAP and non-GAAP financial measures. A reconciliation of non-GAAP to GAAP measures is included in today's earnings press release, which you can find on our IR website. A link to the replay of this call will also be available there and if you prefer to access a replay via phone, you can find that information in the press release as well. We've created a short slide presentation to accompany today's opening remarks and recommend that you follow along. With that, I'll turn the call over to Josh.
Josh Silverman: Thanks Deb and good afternoon everyone. I'll start by touching on Etsy's Q1 results, which you can see on Slide 4. Currency neutral GMS growth was 21% and approximately 19% on an as reported basis. Revenue growth was 40% and adjusted EBITDA margins expanded to 29%. Etsy had a solid 2018 and 2019 is off to a similarly strong start with currency neutral GMS growth accelerating year-over-year. We're particularly pleased with these results given the softness we experienced at the beginning of the quarter and our decision to pause some marketing channels which we reviewed with you on our last call. At our Investor Day in March, we outlined four strategic imperatives that together define Etsy’s right to win and what we believe from the foundation to unlocking our large market opportunity, which we sized at about $250 billion. As a reminder, those are first creating a best-in-class search and discovery experience. Second, enabling meaningful human connections and third building a trusted brand all while; fourth, leveraging our vast global collection of unique items. Over the last few months, we reorganized our product teams to align with these four areas and we're very pleased with the impact we are already seeing from this change. We also reduced our marketing investments in certain channels in order to test their incrementality. We learned a great deal from these tests which strengthen our confidence in the investments we plan to make for the remainder of 2019 all of which is consistent with our philosophy to stay very disciplined in our investment approach, while aggressively pursuing the areas that we believe can deliver profitable growth. We continue to focus on growing the Etsy marketplace in the U.S. and our top five other core geographies, a strategy that's resulted in domestic vibrancy and particularly strong performance in both the UK and Germany. Let's dive a bit deeper into some of the areas that impacted our Q1 results starting with our product initiatives. Etsy's product development teams are oriented around solving our biggest customer challenges with cross functional teams we call them squads, each assigned to a specific customer mission and business goal.  We tracked experiment velocity, hit rate, and win size across our entire portfolio and we're continuously learning and iterating. After spending December and January, we are organizing to align with our rights to win. Our product teams experiment velocity surge to an all-time high in Q1 largely due to work in February and March, which drove healthy GMS wins. Search and discovery continues to represent a key focus area for Etsy, with over 60 million items, simple searches on the site often yield and overwhelmingly large set of search results. In fact, a third of all searches generate over 10,000 items each that we know that over 80% of purchases via search come from the first page of search results, making it critical that we surfaced the very best items higher in search. Our goal is to take Etsy’s vast sea of listings and make it feel more manageable and curated for buyers. One way we're doing that in 2019 is to form a stronger point of view around quality and give more prominence to items that represent the best of Etsy. Historically, our search engine is optimized for conversion rate giving prominence to lower priced items that convert more often. For example, favoring wedding dress hangers over wedding dresses. By incorporating price, we can train our algorithms to solve for GMS and as a result display a wider range of items giving more appropriate prominence to higher quality items.  In the first quarter, we ran our first test incorporating price into our search ranking algorithm, which resulted in a positive impact on GMS. We are encouraged by this early success and believe we are at the very beginning of what will be a fruitful journey to elevate our best value items and sellers, as a result, improving conversion rate, AOV, and most importantly customer loyalty. An important foundation for this work has been our cloud migration, which is enabling us to leverage more sophisticated algorithms by our access to elastic compute power. We're also developing a more localized experience that welcomes buyers and sellers from around the globe and in Q1 we saw some nice wins for international buyers searching for products in their own market. It's amazing how small modifications can punch above their weight. For example, one of many localization changes we made in the quarter was it changed in the UK from the word shipping to delivery to be consistent with the local lexicon. This simple change drove a meaningful increase in conversion. On a larger scale, we're embarking on a major initiative to reevaluate how we index our inventory in French and German, which we expect to dramatically improve non-English search in those core geographies. This is another example of a critical growth initiative which wouldn't be practical without our cloud migration. Another area of focus during the quarter was to improve conversion rate by delivering recommendations that better reflect our buyers style and taste. Previously, we relied only on a subset of our available data and linear models to inform our recommendations. With our cloud capacity kicking in, we are now beginning to enrich recommendations on listing and landing pages by incorporating more information and leveraging more detail about buyers, previous purchases, item views and items they've added to their carts. Over time, this can be expanded the personalized further incorporating things like repeat purchase prediction, image aesthetics, occasions and a vast array of metadata. We think there's a lot of runway to optimize recommendations in order to yield a richer and more personalized experience, positively impacting conversion rate and customer loyalty. We also have significant runway to increase one of the most special parts of Etsy, the human connection. Transactions that feature a conversation between an Etsy buyer and seller converted 13 times the normal rate and at 200% of the typical price. So in the first quarter, we made several improvements to our convo tool, making it easier for buyers to message sellers directly from shop and listing pages and helping sellers to answer more efficiently. During the first quarter, we also continued to educate our sellers about the importance of shipping prices and practices. Our overarching goal for 2019 is to reset buyer's perception of shipping on Etsy in order to remove friction and encourage buyers to shop on our marketplace more frequently. Etsy’s transitioned to the cloud has played a role in nearly every product development example I've mentioned. The migration is a complex technical undertaking, but I'm happy to report that we are ahead of schedule and the transition has gone smoothly. We're also exploring ways to optimize usage to leverage all the possibilities of efficiency. I'm especially pleased about the growth that is just beginning to be enabled by our more powerful infrastructure. Now, let's turn to marketing. We use Q1 to recalibrate our marketing spent pulling back from less mature channels like digital video and television in order to more closely examine the incrementality of returns from those investments and to refine our attribution models. We ran no television advertising in the first quarter. We reduced our non-brand SEM spend and we paused some of our affiliate marketing. These tests yielded important insights. Many of those channels were returning greater ROI than we were previously attributing and some were returning less. In the quarter, we've incorporated those learnings into our attribution model and it resumed some but not all of these less mature channels in the second quarter. Going forward, you can expect to see our marketing levels elevate again, given the confidence and insights we've gained. In spite of the pullback in marketing spent, Etsy’s active buyer count hit 41 million in the first quarter demonstrating strong growth. I believe that Etsy has a significant opportunity to build greater awareness and relevance through higher funnel advertising. Our buyer NPS scores are high and buyer's report that they feel strong advocacy and loyalty towards Etsy. It just don't know when to think of us. Last week, we launched a new TV campaign, which is airing our national cable and some targeted primetime television networks and on selected digital channels. Our new messaging focuses on buying things that matter to you, highlighting our great merchandise in a way that shows more relevance more often. We believe TV, cable, and digital video are all potentially great channels for Etsy to reach broad audiences, further enhancing loyalty to our brand and without a dependency on referral sources like Google or Facebook. Our campaign centers on showing buyers examples of many different relevant purchase occasions along with the kinds of beautiful high quality merchandise they can find across a wide range of categories and occasions. As I've said many times, Etsy has committed to being both a great business and a great citizen. We believe we can drive strong financial results and improve our impact on the world simultaneously. And that in fact, these two objectives are mutually reinforcing. During the quarter, Etsy became the first global ecommerce company to offset 100% of carbon emissions generated by shipping. We're proud to lead from the front and mobilize the ecommerce industry on behalf of our sellers. Not only is this good for the planet, it's also good for business, if 90% of our buyers saying that environmental sustainability matters to them. In fact, conversion rate increased on our checkout page when we included messaging about our carbon neutrality initiatives. In closing, last week marked my two year anniversary since joining Etsy, where as we say around here, my Etsyversary, and what a journey it's been. I'm so incredibly proud of this team and all of the progress we've made in such a short amount of time. And of course this was only possible because the underlying business has so much potential. It's such a strong community of amazing artists and creative entrepreneurs offering something so relevant in today's world of brand and commoditized commerce. With our clear technology product and marketing roadmaps, a deep bench of talent, our engaged community and solid financial footing, I firmly believe we can execute on our long-term strategy and deliver sustained growth. We're just getting started capturing the opportunities within our unique two-sided marketplace. In short, I've never felt more optimistic about the potential for Etsy than I do today. And with that, I'll turn the call over to Rachel.
Rachel Glaser: Thanks Josh. We are pleased with our Q1 performance and delivery of those top and bottom line results. First quarter GMS growth was 18.9% despite some initial headwinds sited on our last earnings call. Strong product launches in the latter half of the quarter contributed to meaningful GMS wins and we were pleased to see very healthy growth overall for the quarter. Revenue grew 40% year-over-year to $169.3 million with growth in both marketplace and services. Adjusted EBITDA margin expanded 750 basis points to 29% in Q1 as we gain leverage across each of our operating expense lines compared to last year. We had a 19% increase in head count year-over-year, but this increase in resources helped to drive new products wins, which in turn help GMS growth. Our high EBITDA margin in the quarter was also helped by our intentional pullback in marketing spend. We successfully improved many of our operational metrics as well. Q1 active buyers increased 18% to 41 million. GMS per active buyer on a trailing 12 month basis was up nearly 2% and has generated growth of 2% or higher for three consecutive quarters evidence that we are continuing to make progress improving frequency. Active sellers increased 13% driven in large part by growth in international sellers.  International GMS was 38% of overall GMS in the quarter and at 33% international GMS growth was the highest we have reported since early 2015. While we all review the P&L in detail shown on Slide 12. I'd like to add a bit more color in two areas, first on marketing spend. In Q1, we pulled back across certain channel to digest our learning from the Q4 spending increased particularly on less mature channels. Despite our pulled back and marketing, organic GMS grew in line with overall GMS growth in Q1 and accelerating compared to Q4. GMS from paid channels conversely contracted 500 basis points to 15% of overall GMS compared to last quarter. This demonstrates that our marketing investments in prior periods have a multi quarter impact on growth. Now with more data on the incremental return by channel, we have rebalanced our marketing portfolio investing across many channels or we have even more confidence and pulling back on lower performing channels. We will continue to test and optimize our channel spend while also leveraging new insights to better target our audience, segmenting buyers by customer type such as habitual versus repeat, as well as by products category. One of the less mature channel that shows promise is television and digital video. As Josh mentioned, we have developed a creative campaign that highlights the breadth and depth of product we offer and helps tell an Etsy story how many special and meaningful moments there are in life and when to think of Etsy for so many of those moments. All of the creative cost for this campaign will be expensed in Q2 and media while we running through most of May and June. So we expect significantly higher marketing expenses in the quarter versus last year and last quarter. The television campaign is structured to maximize both region frequency, and we expect that impact from that campaign will build over time as a large audience is exposed to the ads many times over a two month period. We will continue to invest in this channel into the second half of the year. The second area to discuss is our spend on Google Cloud, which includes implementation costs and costs related to cloud usage for growth initiatives. We believe this is an investment that will have a positive impact on GMS growth in future years as we leverage the benefit of elastic compute enabled by our cloud infrastructure. We are pleased with the progress of the cloud migration and are ahead of schedule. This has resulted in higher spend than we previously expected in Q1 primarily due to investments in machine learning growth initiatives and we are now expecting our full year cloud expenses to be higher than we cited on our last call. These costs are included in our current guidance. I'll dive a bit deeper into why our cloud costs are running a bit hot for us. First, thanks for the fantastic work of our engineering team. We are ahead of schedule in migrating our site to the cloud and expect the migration to be complete in early 2020. Our migration strategy is to lift and shift, meaning that all our capabilities are being transitioned, yet optimization has not yet begun. Second and most importantly now that we are in the cloud, we have seen how much pent up demand and opportunity there is to improve our machine learning capabilities. We see this as a growth investment and have made a conscious choice to invest more into this opportunity. We evaluate this cloud cost much like we do on marketing investments with a disciplined ROI lens and the usage is higher than planned. We see the potential for strong returns from these investments. Importantly, we will offset these higher than planned investments with trade offs from within our portfolio and as a result our outlook on EBITDA margins remains unchanged. I will talk more about our guidance for the year in just a few moments. I have a few quick accounting notes for your models. As of January 1, 2019, Etsy has adopted the new lease standard and we expect to recognize an additional $8.5 million of depreciation annually partially offset by decrease interest of approximately $7 million primarily related to our Brooklyn headquarters. The impact of this new accounting standard is non-cash. Two items related to our balance sheet, which you can find in the appendix of our slide deck. First, we repurchased $27.5 million of our stock in Q1 or approximately 530,000 shares. Also, you will see a significant reduction in accounts receivable as a direct result of our implementation of simplified shop finances, also known as single ledger, for our sellers, which nets Etsy against their sales.  Turning to our 2019 outlook. We are raising GMS guidance to 18% to 21% growth driven by product development efforts which have been delivering incremental GMS wins as well as confidence in the portfolio of investments we are making in marketing including our new television campaign. We are also raising our revenue guidance to 30% to 32%. As a reminder, we had a onetime benefit of $2.8 million related to Etsy shipping label revenue in the second quarter of 2018 that will not recur in 2019. This may be distorting some of your Q2 2019 models. We are maintaining our EBITDA guidance in the range of 23% to 25%. This reflects our confidence in the value of investments we're making in marketing and cloud computing, which we expect to contribute to our strong growth this year and also have longer term benefit for the fiscal year. As we look at the margin cadence for the rest of the year, we currently expect Q2 and Q3 2019 margins to be significantly lower than Q1 and Q4 margins. We also want to reiterate our long-term goal to achieve adjusted EBITDA margins of 30% or higher within a five-year time horizon. In summary, we're very pleased with our strong start to the year. We are excited about our ability to grow our marketplace while simultaneously driving profit margin expansion. We are rigorous in allocating resources to those that will produce the highest value. With a balanced portfolio of strategic investments across product, marketing and optimized infrastructure, we believe we will continue to deliver strong and sustained growth. Thank you for all your time today. We will now take your questions.
Operator: Thank you. [Operator Instructions] And our first question will come from the line of Kunal Madhukar with Deutsche Bank. Your line is now open.
Kunal Madhukar: Hey, thanks for taking the question. One, on the marketing side of things, what was the specific learning from the TV spend that you guys did last year? And how does that translate into the spend or the strategy to spend this year? And as a follow-up to that, it would be great to kind of understand, are there specific KPIs that we should be tracking or that you would be disclosing that can help us understand or better understand the ROI from that spend? Thank you.
Josh Silverman: Yes, so I'd say we look at two things. We look at leading metrics, which are really brand health metrics. And then we looked at performance in the near term. So starting with the leading metrics, we are measuring brand health so things like unaided awareness but also intent to purchase loyalty and advocacy. And what we've seen is that audience is exposed to the TV campaigns see meaningful increases in brand health metrics. So things like Etsy is relevant to me, Etsy is a place I didn't tend to buy, Etsy is a brand that I would recommend friends. So we think that those are important leading indicators and we're encouraged by the progress we're seeing. We also try to track the results in terms of actual purchase behavior. When we ran the geographic tests at the beginning of 2018, those were really designed to be able to measure more precisely growth in quarter. The challenge of doing a test like that is that it's much more expensive to test locally. So you've got to sort of extrapolate what that ROI would have been had you been benefiting from a national buy. So in the latter part of 2018 we did national buys. And the benefit is we get a lot more cost leverage. The ROI looked good as best we could measure it, we felt encouraged by what we saw. It's obviously harder to measure. We had a strong year last year, including a strong end to the year last year and we felt really good about that, with many of you did as well parsing out exactly how much of that was due to TV versus other things that we're also going well is a combination of art and science. Our combination of art and science resulted in us feeling good enough about it to want to keep going in 2019. So we're encouraged by TV. We think it can be a great channel, particularly given the position Etsy is in with a lot of people saying that they really have affection for Etsy, they believe in Etsy, but they're not sure when to think of Etsy. That's the kind of challenge that higher funnel advertising, like TV and digital video can be very well designed to address. I'll say one last thing before I stop, which is just, we also liked the fact that building the core destination of Etsy with a brand that is not reliant on referral streams like Google, and Facebook and others we think is great. And so TV is a channel that can scale very well and continue to build loyalty to us as a destination. And we think that's a worthy objective.
Rachel Glaser: And then specifically to your question about what KPI should be looking for, I think, the top one is GMS. So we're striving to grow GMS by using as efficiently we can every part of the funnel. And then over time we're trying to also grow frequency. So those are the – and doing this profitably. So you can also look to EBITDA as we go.
Kunal Madhukar: Thanks Rachel. Thanks Josh.
Josh Silverman: Thank you.
Operator: Thank you. And our next question will come from the line of Maria Ripps with Canaccord Genuity. Your line is now open.
Maria Ripps: Hello and thank you for taking my question. Josh, I wanted to ask you about your international strategy, particularly given a strong buyer and seller addition in the quarter. Are there any markets outside of the core six and besides India, where you have sufficient buyer and seller liquidity on the platform that may warrant additional investment in the near term to strengthen your operations in those markets?
Josh Silverman: Yes, great question. So I'd start by saying we're really encouraged by what we're seeing in the UK and now Germany as well, where both of those markets are now more than 50% domestic trade. So buyers buying in the UK, more than 50% of their purchases come from sellers in the UK. And we think that's a really encouraging sign. We'd love to see that repeated in France, and Australia and Canada and we're growing our presence in India. Although India, I want to point out we're really focused on in export strategy in India. Those are the core markets we're focused on. And I want to be careful about not spreading ourselves too thin with our investment dollars, particularly around the buy side, around things like performance marketing to drive buying activity. I do want to take a minute to highlight that a global marketplace is a wonderful thing. And we see a lot of benefits from being global and there's a great amount of activity happening outside of those core markets that is terrific. So for example, we're seeing wonderful sellers in Lithuania and the Ukraine that are selling clothing, lynn and apparel embedding among many other kinds of products, but in those categories in particular, we're seeing real vibrancy and it makes the ecommerce experience much richer to be able to buy these great products at great value all around the world. Israel, we're seeing wonderful things in a bunch of different categories, including shoes, leather shoes coming out of Israel are really interesting and I could go on and on. Lots of different countries that have specialties in different crafts that make the market better. Many times those are export we're stronger as an export in those longer tail markets, because it's a great chance to reach a buyer market. And in big markets like the U.S., the UK and Germany,
Rachel Glaser: I'll just add that that trade route, we call it the international domestic trader, which is an international buyer and seller within the same country is the fastest growing trade route. So we're actually seeing real progress on that, sort of the local search. The next half this is actually the U.S. import, meaning, that we’ve got a lot of buyers that are – that have a high – there's high demand for all of that rich product that's coming from all over the world as Josh described these fantastic linens coming out of eastern Europe, and so on. So building markets like India would be at a great export market is very beneficial to the marketplace as well.
Maria Ripps: Great. That's very helpful. Thank you both.
Josh Silverman: Thank you.
Operator: Thank you. And our next question will come from the line of Heath Terry with Goldman Sachs. Your line is now open.
Heath Terry: Great. Thank you very much. I was wondering if you could give us a sense to the extent that you've continued to make the investments that you have in both technology and marketing. Where you're seeing strength, particularly in customer engagement but also in new customer addition. Is there a way to just aggregate the drivers behind those two things? What you would attribute to the investments that you're making and marketing? And maybe separately marketing efficiencies, but also sort of where you're seeing the benefits from the technology spend that that you've pay behind better search, better personalization. Just really trying to decide to get a sense of the two drivers there. And to the extent that you're seeing this improvement in marketing ROI, does that give you any real desire to want to step up the level of marketing spend that you're seeing, or change the weight and which of those two things you're prioritizing?
Josh Silverman: Yes, sure. So in terms of where we're seeing the benefit, let me start with the product side. Most of the gains we've seen on the product side in the near term have been in conversion rate. We're doing a better job of converting visits into purchases and that spread across both new buyers and existing buyers. So that's where we put most of our energy and that's where we're seeing most of the benefit. Now if you visit and you find something you like and you actually buy it, that's a pretty good experience. So I think the gains we're seeing in frequency in no small measure come from the fact that we're actually delivering a more experience – a better experience on the site, which has people coming back more often. In terms of are we making more progress on getting new people or engaging existing people? I'd say it's been relatively evenly spread. And one other things that I find very interesting about Etsy is that people when we talk to buyers who haven't shopped with us for awhile, they actually think they have shopped with us for awhile, more recently than what our data suggests. So what they say is, I love Etsy. And yes absolutely I use you guys and you're like, oh, really you're data says you haven't been there in awhile. I'm like, really, I guess I just hadn't thought of it. Like, wow, I guess it has been a year. I guess it has been two years. How time flies. And that's where that shoulder tap of, they like us, they just need that trigger to remind them when to come to us. That I think is a really big opportunity. And that's why I'm excited for TV to do some of that reach. We've also talked to you about improvements in our email systems, which, I think, is helpful driving more people to the app, I think, can drive more re-engagement. And then using things like retargeting, so that we can remind people that maybe have a favorited item or left something in their cart. Those are all opportunities that we have to drive more re-engagement from people that may be we feel are lapsed even if they don't feel that they are lapsed. And then, I think, your second part of your question was around do we plan to take up marketing spend because we have more – we’re more encouraged. And yes, we do. So you will see marketing spend elevate in the second, and third quarters and fourth quarters of this year.
Rachel Glaser: I think you are also starting to ask like, can we parse apart how much growth is from sort of product versus marketing?
Heath Terry: Yes.
Rachel Glaser: So first point, I want to make is we measure those things quite granularly in house. And on uncertain calls, we've talked about how much collectively our search wins generated in GMS. We don't disclose those metrics every quarter. But one thing we do talk about every quarter is the percentage of GMS that's coming to us organically. So this quarter with our pullback, we are now – we were 85% of our total GMS was organic, which is a reduction from the last quarter. And so that is to give you a sense of – and we grew GMS 18.9% and 20.4% on a constant currency basis. That gives you a sense of growth is coming partly from investments we made in marketing in prior quarter, but also partly from the product wins that we had in the quarter, because we at least sort of paused a lot of our marketing spend this quarter to give you just a feeling for how much GMS is driving – or how much GMS is coming from our product development efforts.
Heath Terry: Great. Thank you both. Really helpful.
Josh Silverman: Thank you.
Operator: Thank you. And our next question will come from the line of Nick Jones with Citi. Your line is now open.
Nick Jones: Hi, thanks for taking my question. With Amazon moving more towards one-day shipping and shipping kind of wherever you want, and realizing that [indiscernible] Etsy is accustomed to take more time, how is that changing the conversations you're having with your sellers on maybe getting their shipping speeds at least closer to what consumers are looking for.
Josh Silverman: Yes, given the nature of products on Etsy, the idea that they all are available sitting in a warehouse and waiting to ship is not necessarily a realistic expectation for us. And so being great at what we're great at and owning and leading into that, talking about the customization and the personalization and it being just made for you. And sometimes special takes a little bit of time and we're not shy about that. We're not trying to be exactly like Amazon. We're trying to be great at what we are. Now we can do better. And so we can do a better job of being clear when buyers can expect items. So we call it estimated delivery date. And getting sellers to set very accurate estimated delivery dates and then exposing those on the site is something that is an area that you'll see us do more and more on in time. And then things like filter. So I only want to see things that are available to arrive by x date, is something that over time you should expect us to see, you should expect to see from us. And well many things on Etsy are made the order and made just for you. That's still means look, there's 62 million things for sale on Etsy right now. There are still millions of things that can be shipped right away. And in fact Dayna Isom Johnson, our style expert was on the view just today talking about Mother's Day. And she was asked a question about Mother's Day gifts. And she pointed to a whole set of print-at-home products we have available for sale. So you can, for example, buy a custom calligraphy card or a custom calligraphy family tree, which will be sent to you on a digital file within minutes or hours and then you actually print it in your own home and give it. So those kinds of products could be available in minutes without even requiring shipping. So there's a wide range of products. We want to make sure that what we do is set buyers' expectations so that we can show them just the selection of things that are available to arrive within their timelines.
Nick Jones: Got it. Thank you.
Operator: Thank you. And our next question will come from the line of Shweta Khajuria with RBC Capital Markets. Your line is now open.
Shweta Khajuria: Great. Thank you. Two questions please. One is what are some of the initiatives that you are taking to drive domestic business in international markets that you called out? UK and Germany over 50%, and perhaps localizing the French website may help, but in English speaking countries like Australia, could you talk about some of the initiatives you are taking to drive that?  And then second, on targeting market segments during your Analyst Day, you talked about habitual buyers and frequent buyers. Could you talk about the strategies that you're implementing now or you plan to implement through the year to drive conversion through your frequent buyers to habitual or targeting lookalike audiences to drive a new customer growth? Thank you.
Rachel Glaser: I'll take the second one first and then Josh can talk about international. So our habitual buyers were again the fastest growing segment and buyers that we've talked about in the quarter. So we gave the metric about the GMS per trailing 12 months buyer on the call. But that again, accelerate, that was the third quarter over 2% growth. So those two are both indicators that have improvements in frequency. And we'll continue to refine some of these metrics that we want to disclose that show you how we're making progress on frequency, but we feel pretty that we’re getting positive signs – product efforts that we're making in the marketing efforts that we're investing in are driving those numbers.
Josh Silverman: And on building demand within local markets, majority of our marketing investments in performance marketing channels like Google PLAs and that skill is really, nicely, internationally. So we use the same technology and capabilities to buy PLAs in the international markets that we do in the U.S., or in our core international markets as we do in the U.S. And we've elevated our investment levels and been able to do that in part based on our change in pricing that we did last year. So we're able to invest even more and drive healthy growth. We also have a corporate communications PR teams in these markets and are able to generate a meaningful amount of earned media, which is also really helpful. And then the other thing I never want us to lose sight of is our sellers themselves who are highly motivated to market themselves and their shop, and along with that Etsy. And they do that in informal channels, but they also host things like craft fairs on the weekends, where the Etsy brand is quite prominent. And so we have thousands of seller teams all around the world organizing fairs on weekends and really doing guerrilla marketing at scales really nicely to support themselves and along with that Etsy.
Shweta Khajuria: Thank you Josh and Rachel.
Rachel Glaser: Thank you.
Josh Silverman: Thank you.
Operator: Thank you. And our next question will come from the line of Thomas Forte with D.A. Davidson. Your line is now open.
Thomas Forte: Great. Thanks for taking my question. So with the strong dollar, I had a couple of questions on strong dollar and FX mutual growth. So I think Rachel pointed out that the disparity between reported GMS growth and FX mutual is 510 basis points. Is that the biggest it's ever been? And then can you remind us what percent of your listings are U.S. dollar denominated? And then to what extent, if at all, does the strong dollar have any negative impact on your operating performance, or is it just translation as far as translating international currency to U.S. dollars? Thank you.
Rachel Glaser: Thanks Tom. I guess first I want to clarify with 170 basis points of headwind for the difference between our as reported numbers and our constant currency numbers in the quarter, I'm not – I don't know where – I'm not sure where you picked up the 500, but 170 is the number.
Thomas Forte: I thought you said 24 versus 89 for GMS growth?
Josh Silverman: Its 89 is as reported in 20.4%. Sorry. Yes, sorry about that.
Rachel Glaser: I'm glad you asked the question so we could say – articulate on the call, yes. 20.4%.
Josh Silverman: Yes, which probably gives you some indication in that, so to the rest of your question, obviously, there's just a conversion factory that's just math to convert euros or pounds to dollars but you're right that there is some level of price elasticity as well. So when the dollar goes up, purchasing power from the U.S. and the largest trade route internationally is U.S. buyers buying from abroad. So when the dollar goes up, U.S. buyers have more purchasing power and when the dollar goes up they have less purchasing power. So there is a little bit of price elasticity. It obviously goes the other way for international markets. And that plays a small role. But the biggest role by far is just the math exercise of converting different currencies back to U.S. dollars as we bring it back. And the other question is what percentage of listings are listed in USD and I think that's over 80%.
Rachel Glaser: 85%.
Josh Silverman: 85%, there you go.
Rachel Glaser: Tom, just one more clarification, it was 20.6%, not 20.4% on a constant currency basis. So just want to make sure we get the right numbers.
Thomas Forte: All right, thanks for the clarification.
Josh Silverman: Thank you, Tom.
Operator: Thank you. And our next question will come from Laura Champine with Loop. Your line is now open.
Laura Champine: Thanks for taking my question. First, just a housekeeping thing, if I missed your headcount so if you've got that number, that would be great. And then secondly, in your slide deck, you show GMS broken out between new and repeat customers. What's your goal for that mix? Would you like to see a greater percentage of – meaningfully greater percentage coming from new customers because that would optimize your GMS or is the focus really just on frequency from repeat customers?
Rachel Glaser: Okay, hi Laura. So first of all, what I cited was we had a 19% increase in headcount year-over-year, but I didn't give the number but I believe it's in our Q. It's 914 at the end of Q1. And then on the new versus repeat, we haven't given a goal, but I do want to clarify one thing about those metrics that I believe I said in the past, repeat is people that have ever shopped at Etsy from the beginning of all times. So I think that might be a little bit different than other companies report, meaning some of those customers may not have come to us for several years and others would consider them lapsed. So one thing we talked about in our Investor Day presentation was to start to create that – break out that segment of lapsed versus repeat versus new. And that may be a metric that we want to talk to you about going forward because I think those lapsed customers are, it should be marketed to as if they're new. And so we're starting to get our attribution models and our targeting set up so that we can tell the difference between something that we're calling new versus repeat.
Laura Champine: But then the crux of the question is, what's your goal? Where would you like those numbers to be? Or are you satisfied with that? I think it's an 83/17 mix or would you like to see it tilt more new or repeat?
Josh Silverman: The nice thing is I don't think they're mutually exclusive at all. So we definitely think there's an opportunity for our existing buyers to buy more from us. And we're excited about that and investing behind that. And we think a relatively small portion of the available customers out there have shopped on Etsy. And so we want to grow them both.
Rachel Glaser: And just a clarification there, I think those split that you're citing is percentage of GMS coming from new versus repeat, not customer count.
Laura Champine: Right. Absolutely. Thank you so much.
Josh Silverman: Thanks Laura.
Operator: Thank you. And our next question will come from the line of Edward Yruma with KeyBanc Capital Markets. Your line is now open.
Edward Yruma: Hey, good evening guys. Thanks for taking the question. I guess first, and I'm sorry if I missed this earlier, but the GMS growth end up a little bit better than you would've expected. I know both when you reported 4Q earnings as well as at Analyst Day, there were kind of a litany of potential reasons why GMS might have started off a little softer. I guess any hindsight in now on why that may have happened and any color on kind of exit trajectory.  And then second, kind of a bigger picture question. Obviously, international continues to be a pretty strong success story. Maybe help us understand kind of the level of investment needed going forward in the DaWanda area and kind of how that growth profile should shake out longer term? Thank you.
Rachel Glaser: I can start with the Q1 GMS. When we got on the call in February, we had seen, as we said, some sluggishness in January. We weren't exactly sure why we had – the reasons we cited were potentially some macro headwinds. We had paused some of our marketing spend and we've kind of reset the new product roadmap that was just sort of getting into gear. At the time we did the call, we felt it was prudent at that time to – as conservative with what we were seeing and transparent with what we were seeing as we could. And so we laid that out for you and reiterated that at our Investor Day. And then we're happy to report that we've – as we've turned our marketing channel back on with our test complete and they've been – we believe effective and we've had some really good product wins in the quarter that started to take shape, midway through the quarter. And as we entered into March are delivering incremental GMS, so it works – those haven't happened yet when we did the last call. So we're pleased with the progress and how we’ve entered the year.
Josh Silverman: The only – I guess a color I’d add. First we intentionally took our foot off the gas with marketing to tune our attribution models. We feel great about that, that was the right decision and we didn't want anyone to be surprised by that. And that was something we knew. The second thing I would say about January and February, it was – I would use the word volatile. We had generally pretty good weeks and then all of a sudden there would be a really weak week. And then generally pretty good weeks. Particularly in February and I think – and I don't know that we'll ever know with certainty, but I think the tax return thing showed up. And so it’s just a little volatile. And given that we had an earnings call, we wanted to make sure that we were as transparent as we could with you. We're pleased with how the quarter closed and as a result we're able to take our GMS guidance up and we feel good about that.
Rachel Glaser: And then with regard to DaWanda investment, there really is not a huge amount of incremental and that's what we've completely absorbed the DaWanda seller base as many as them as wanted to be absorbed and the buyers into etsy.com. And we treat the German market much as we do any other of our top international market. So there's no integration cost or anything that is related to DaWanda investment whatsoever.
Edward Yruma: Got it. And just one last piece from an exit trajectory perspective, I guess, kind of did the momentum that you saw at the end of the first quarter carry into where you've seen those from the second quarter? Thanks.
Josh Silverman: I'd say we've given guidance for the year. We don't give quarterly guidance. The one thing I would say about March is Easter moves. And so looking at kind of the last few weeks of March, there's a lot of inherent volatility based on the date of Easter. So I wouldn't encourage people to focus too much on that. But we've given updated guidance for the rest of the year.
Edward Yruma: Thanks guys.
Josh Silverman: Thank you.
Rachel Glaser: Thank you.
Operator: Thank you. And our next question will come from the line of Darren Aftahi with ROTH Capital. Your line is now open.
Dillon Heslin: Hi, this is Dillon on for Darren. Thanks for taking my question. Firstly you talked about some of the improvements you made that have seen better conversion on the search and discovery aspect. Could you talk a little bit about anything you might have done during the quarter or year-to-date as far as personalization goes? And then as a quick follow-up, the GMS per trailing 12 month active buyer, it's been pretty steady at 2% but looks to sort of have been stable at around 99.8 is there anything in particular you think that could reaccelerate the actual dollar figure going forward? Thank you.
Josh Silverman: Sure. So on the personalization, we're launching more tools to allow sellers to announce and promote the fact that that their items are available to be personalized. And then to streamline that process so that it's easier for the buyer to say what they want the personalization to be and the seller to incorporate that. And so we're excited about the roadmap for that. I think many buyers are not aware of the opportunity to personalize and customize on Etsy. And in fact because you're buying from a person who's making the product, many, many things are actually available to be personalized and customized. And I don't think that, there's a lot more we can do to make that prominent. So look for that in the coming – in the years to come. The second question was around frequency and GMS per active buyer. I think that that's about helping our buyers understand all of the opportunities that there are to shop on Etsy. Again, net promoter scores are high. And particularly if you look at net promoter score right after the item arrives, which is really kind of the moment of truth, they’re really high. So the chances are that they had a good experience last time they bought on Etsy. So we think the key now is to just let them know all of the other opportunities that are available and I think TV is a good opportunity to do that.
Rachel Glaser: Yes, I was going to just add that. Basically all of the initiatives we have are focused on improving GMS and then improving GMS through repeat frequency. Television is one of the large investments we're making that is very much trying to tell the Etsy story rather than when we're spending on Google, it's really selling a product or a listing and people come in and they buy one thing and they're gone. This is a story that is saying you come to Etsy for all these meaningful moments in your life. So that's one area. And then we've talked about a lot of the product initiatives example we gave on the call was really focusing on quality and using – because of our cloud investment, we're able to run much more sophisticated algorithms to surface. Putting more factors that would – surface things of higher quality and then have those be a lot more – using a lot more chosen data about what we know about that fire. And then hopefully that brings people a better experience and gives them – matches them to a product they want to convert on much faster and much more of the time. Those are just a couple of examples where we think we're really going to start to move the needle on frequency.
Unidentified Analyst: Great, thank you.
Operator: Thank you. And our next question will come from the line of Brian Nowak with Morgan Stanley. Your line is now open.
Brian Nowak: Thank you so much for taking my questions. I have two. Just to kind of go back, Rachel, you mentioned a couple nice GMS and product wins throughout the quarter. Could you just sort of help us to understand a little more on what those wins were sort of what you've changed on the platform and sort of what happened to consumer behavior whether it’s conversion et cetera? And how much of the guidance raise is sort of linked to those changes? And then the second one, really strong, 18% to 19% organic GMS growth. The question is did you sort of think about the year and then sort of your long-term guidance you laid out at the Analyst Day. How do you think about sort of the durability of high teens organic growth and then sort of paid potentially driving you to sustainably low 20s growth?
Josh Silverman: Yeah. So let me start with the first. So, we feel good about the product work that was done in the quarter and I want to pause for one second, probably one other factor heading into Q1 is that we did a fairly big reorganization of our product team to align with our rights to win. We do believe that strategy needs to drive organization, which drives execution. And so, we've aligned our product squads around the very same rights the win that we talked to you about in Investor Day. And so it took a little bit of time for those teams to reform and storm and norm, but they hit the ground running and we saw really good wins particularly in February and March around those. So a few of those that I would – that I would highlight, Rachel talked about quality and our push in quality. Let me click one level deeper and talk about that for a second. Our search engine has historically used conversion rate as its objective function. Meaning when you typed in a search query, it's trying to show you the top 50 things that it thinks you're most likely to buy. There's an inherent bias to low priced items then because you're much more likely to buy a $20 item than a $200 item. So if you were to use GMS as the objective function instead of conversion rate, you might buy fewer things but of higher value resulting in higher GMS. We talk about this as the cushion to couch strategy inside the company. People right now buy cushions, how do we get them to not only buy cushions but also by the couch at the higher stakes. And there's actually some inherent bias built into our search algorithms driving them to lower price items. That also has implications for the brand. So as we want to elevate the brand and show a broader variety of purchases and purchase occasions, changing the search algorithms to show a wider variety of items we think is helpful, but it's new and it's big and so you [indiscernible] way into that. So we begun to incorporate price into the search algorithm and we're very encouraged by what we saw from that showing a wider variety of items, including more high priced categories. And the net of that was some GMS wins that we think are great. I would say that that's a journey that will be on for quite some time understanding quality and how to determine quality and then surface quality and shows signals of quality to the buyers. That's going to be great for buyers. It's also going to be great for sellers and our best sellers having sustainability for them. I think it's going to be good for everybody. We did other things around highlighting quality like image. We did some work on showing higher quality, higher resolution images, which worked – some other wins were on localization in our international markets to make the UK site feel more UK and the French site feel more French. The recommendation algorithm has got better and that made a difference. And we made it easier for people to send combos, buyers to send combos to sellers and we're making it easier for sellers to respond efficiently to those. Those were, I think, some of the biggest things we did to move the product in the quarter. It’s not everything, but it's some of the bigger things.
Rachel Glaser: Let me add a point. One thing is obviously when we have a product in Q1 then that has an annual [indiscernible]. So that product win will keep on winning for us for the rest of the year. So we're just beginning and those things build on each other. So there's a product roadmap with many things prospectively that we'll continue to build the ones that launched towards the end of the year have fewer weeks with which to contribute. But the ones that win now, which we think there were some significant ones in Q1 have opportunity to keep – the gift that keeps on giving and that's baked into our GMS guidance. And you talked about shipping, we talked about shipping on our last call, we have started to put initiatives in place to educate and communicate with our sellers about the value of treating shipping costs just like its cost of goods sold rather than breaking it out as a separate cost. So that their pricing strategies include and contemplate that there is going to be the cost of getting the item from them to the buyer. And we've given them tools that make it very simple for them to be able to calculate what their pricing could change to modify how they're displaying that total transaction value. And we're starting to see some headway in those initiatives that we've introduced to them.
Josh Silverman: And I think the last part of your question was around sort of sustainable growth rates. And we laid out in Investor Day 16 to 20 as a long-term sustainable growth rate over the next five years. We feel good about that. So we think continuing to grow at rates substantially faster than what we think the ecommerce market is going to grow at – is what we laid out there. We feel good about that. And we think our opportunity to improve the product experience and to find new marketing channels and invest more in our existing marketing channels, we see significant runway in both of those. And we think the two of those underpinned the growth that we've seen. The other factor is obviously macro. And we're in a good macro environment right now and you're seeing us guide you to the very top end of that range that we put out there. Someday we will be in not as good of macro environment and we might guide you lower in that range. We'll see. But I'd say that is the other factor that that we're always keeping an eye on.
Brian Nowak: Got it. That's really helpful. Let me just add one more kind of just to come back to it again. So, as you laid out that long-term outlook, did you sort of embed annual product wins in that multi-year outlook or the product wins as we go or those sorts of potential sources of upsides of the way you think about that that outlook?
Rachel Glaser: We gave guidance with the best visibility we have to what's on our roadmap. We – iteratively, we're testing things all the time and we operate in a continuous deployment sort of not a waterfall environment. We talked a bit about this at our Investor Day that we've changed the way we – the throughput with which we develop products. They're constantly being tested and we don't know what's going to win. In fact sometimes we – ourselves will think something is good and it's not. So our guidance contemplates what we think we can reasonably count on for growth coming from product development and the growth that we pulled out from our marketing investments.
Brian Nowak: Got it, very helpful. Great quarter guys. Thank you.
Rachel Glaser: Thank you.
Operator: Thank you. And our next question will come from the line of Ygal Arounian with Wedbush Securities. Your line is now open.
Ygal Arounian: Hey, thanks for taking the question. So, I've been jumping around, so I may have missed some of this. But it sounds like on the marketing kind of step back up an investment, it's going to be very focused on TV more than anything else. Is it only TV? Are there other things in it as well? Just thinking about the payback period in ROI for TV? How much of it drives – how much of the incremental spend in TV or the renewed ad campaigns you think drives growth in 2019 versus 2020 or longer? And then if it's successful, would you think about continuing that acceleration in 2020 and beyond? Or should we think about it more as kind of like a 2019 type of event? Thanks.
Josh Silverman: Yeah, great. Thanks for the opportunity to clarify. So, when we talked about pausing some channels, TV was not the only channel we paused. We paused many different channels, some for few weeks, some for longer, depending on how long it took the test, the incrementality of that particular channel. So other channels we paused, for example, we’re search engine marketing, particularly things that didn't involve the keyword Etsy. We paused investments in social channels would be another example. We paused investments in affiliate marketing. So we paused many different investments across many different channels to tune our attribution models because what you can measure pretty well is did they click on this ad and then did they show up on your site and then did they buy. What you can't measure is sort of the halo effect of did they come later or did viewing it have an impact and sometimes you over attribute and under attribute to that. So these on/off tests help us to measure that. And sometimes by the way, those effects can be quite significant. They can be quite material to your understanding of the return on investment. So we learned a lot. It was good. Something we did not pause was the PLA program. So Google product listing ads, which is a mature channel that works pretty well and we feel like we've got a pretty good understanding of the incrementality there. And so that was – we invested in that in a pretty sustained way throughout Q1. So, now, you'll see us keep going with PLAs. And by the way, we think we can continue to get more efficient as we build better technology and capabilities even in the PLA program. And then turn on some of those less mature channels that we paused where we gain more confidence and then there is TV. And depending on how the results go through 2019, we're very open minded to continuing to invest in 2020 and beyond, provided we continue to see encouraging results. We're not wedded to anything, but what I like about TV as it seems like it has a potential to be a good fit with the brand positioning that we have today or the brand – our brand opportunities. And it scales really nicely. If it works well, you could imagine us scaling our spin on that and being able to put even more money to work cost effectively if we find that the return is there.
Ygal Arounian: Okay, great, really helpful. And we're past [indiscernible] one last quick one. On the – I was going to ask about AOV and kind of start to answer it. It’s about – on this cushion to couch concept and how that relates to the GMS practice by a growth that you've seen consistently over the past three quarters? How much of that increased AOV in that number or is it mostly frequency right now? How should we think about the balance between those two things? What we've seen in the past couple quarters and going forward? Thanks.
Rachel Glaser: So, I think prospectively some of the things we're doing with quality that Josh talked about on the call, will have some impact on AOV. Right now, it's really a frequency that is impacting the growth that you're seeing.
Ygal Arounian: Okay, great. Thank you so much.
Rachel Glaser: Thank you.
Operator: Thank you. And our last question will come from the line of Marvin Fong of BTIG. Your line is now open.
Marvin Fong: Great. Thank you for taking my question. It's a little late. So just the two quick ones and I apologize, I also came in late, so if this was asked before. But the 13% growth in the active sellers that seems to have been quite a bit acceleration compared to rethink orders. Could you maybe add some color on where – what geographies that might be driving that? Is it international or the U.S.? And then secondly, I have actually observed some outside data that suggested maybe your organic search traffic has been doing well. And I was just wondering have you guys actually been seeing that? And if so that's factoring at all into your guiding – thinking for the rest of the year. Thank you.
Josh Silverman: Great questions. Thank you. So on the sellers – we're pleased by the growth in sellers. As we've said, we're largely demand constrained more than supply constrained business particularly in the U.S. that's less true in international markets where building more supply across more categories is indeed very helpful. And that is disproportionately where the seller growth came from last quarter. We are definitely adding sellers in the U.S. and we feel great about that and we welcome them to the platform, but disproportionally the growth came in international markets.
Rachel Glaser:
SCM: And during that time where it was paused, we were perhaps seeing higher click throughs on an SCO results that that were previously going to it in SCM placements. Also I’ll just remind you that our organic – we have – we benefit from a huge amount of organic traffic. So 85% of our GMS comes to us organically and about half of that is direct traffic that just [indiscernible] calm. And so that continues to be when we pulled knock on our spend, we saw actually the percentage that was coming to us that way went up just by nature of the stack and we were spending less on marketing. So that's the dynamic that we're seeing in the quarter.
Marvin Fong: Okay, great. Thank you and congratulations on the quarter. Thank you. This concludes our question-and-answer session for today. I would now hand the conference back over to Josh Silverman, Chief Executive Officer, for any closing comments or remarks.
Josh Silverman: Thank you all very much. We feel great about the first quarter and I'll look forward to following up in the months and years to come.
Operator: Ladies and gentlemen, thank you for your participation on today's conference. This does conclude our program and we may all disconnect. Everybody have a wonderful day.